Operator: Good afternoon and welcome to the Aqua Metals First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the call over to your host Bob Meyers of FNK Investor Relations. Please go ahead, Bob.
Bob Meyers: Thank you, operator. And thank you everybody for joining. Earlier today, Aqua Metals issued a press release providing an operation update and discussing financial results for the first quarter ended March 31, 2023. This release is available on the Investor Relations section on the company’s website at aquametals.com. Hosting the call today are Steve Cotton, President and Chief Executive Officer; and Judd Merrill, Chief Financial Officer.  Before we begin, I would like to remind participants that, during the call, management will be making forward-looking statements. Please refer to the company's report on Form 10-K filed March 9th, or Form 10-Q filed today May 4th, for a summary of the forward-looking statements, and the risks, uncertainties, and other factors that could cause actual results to differ materially from those forward-looking statements. Aqua Metals cautions investors not to place undue reliance on any forward-looking statements. The company does not undertake and specifically disclaims any obligation to update or revise such statements to reflect new circumstances or unanticipated events as they occur except as required by law. As a reminder, after the formal remarks, we will be taking questions. Questions will be accepted over the phone from analysts and other investors can submit a question using the online webcast portal provided in today's and last week's press release. We will take as many questions as we can in our available time slot. To start the call, we will show a brief video that highlights our progress. For those that have dialed in, you will be able to hear the narration and the replays will be available on the website. Steve will lead the call from there.  [Audio/Video Presentation] Aqua Metals was taking lithium ion batteries, recycling them taking the pure metals out of them and using that to create new battery so it's a closed loop system clean system powered all by electricity and they're the only company that has been able to system clean system powered all by electricity and they're the only company that has been able to produce a commercial process like this Senator Cortez Masto says what they're doing here is an opportunity for the Silver State to lead the country when it comes to clean energy.  Yesterday, I was at trick I was visiting Aqua metals. Aqua Metals has pioneered a process to recycle lithium ion batteries and recover the valuable metals and lithium hydroxide, creating this circular supply of critical minerals for domestic battery manufacturer. During the first quarter our lithium Aqua refining pilot became fully operational becoming the first sustainable lithium battery recycling facility in North America. We are actively recovering critical battery metals like copper and nickel in their pure form and recently announced we became the first battery recycler to natively produce lithium hydroxide without the need for additional and costly refining.  With samples of these high-quality products in hand, Aqua Metals continues to advance partnership and supply agreements with key companies across the supply chain and we are very excited about our recently announced partnership with 6K Energy. A global leader in sustainable manufacturing of battery cathode materials.  Our commitment of pioneering low carbon closed-loop battery recycling powered by electricity aligns perfectly with 6K Energies sustainable manufacturing and our partnership signifies a major step towards U.S. leadership in the next generation of net-zero battery materials and technologies.
Steve Cotton: Thank you to everyone who joined us today. Though it's only been a short time since we last shared a quarterly update, Aqua Metals is already making major progress this year. As you just saw in our highlight video, Aqua Metals has made Operational progress by all measures in the first quarter of 2023. Building upon the many milestones achieved last year, we are rapidly demonstrating the capabilities and expertise to drive toward full commercialization.  We are proving our innovative, sustainable, and closed-loop technology in our lithium mock refining pilot facility. And after securing property for our commercial growth, we are already well underway in upgrading the existing building number one, the first phase of our five-acre clean metals campus into a 3,000 input tons per year recycling facility, which we'll expect to begin to commissioning by Q1 of next year. As we previously announced, we plan to expand our first campus to a target of 10,000 input tons per year, which could generate $200 million or more of revenue. Perhaps most importantly today, though, is that we are now fully operational at our revolutionary lithium AquaRefining pilot. In Q1 Aqua Metals became the first sustainable lithium-ion battery recycling facility in operation that does not use polluting smelters to recover valuable materials from black mass. We are now producing high-quality metals, like copper, nickel, and lithium hydroxide from spent lithium batteries and operating our innovative pilot facility 24 hours a day, five days a week. We couldn't be more excited for our continued operational progress. And we continue to share samples of our high purity sustainably recycled battery materials with manufacturers and OEMs across the supply chain, who've also been here visiting our operation. And those ongoing supply agreements in partnership discussions are bearing fruit. On the supply side, we've recently announced agreements for all of the lithium battery black mass we need for 2023 and now into 2024, meaning that the raw materials needed to reach commercial scale production at our new recycling campus are secured. We continue to work with and identify a diverse array of black mass suppliers, and are now placing orders for material at scale. And on the offtake side, we announced earlier this week that Aqua Metals has initiated the development partnership with 6K Energy and signed the letter of intent to supply their first of kind plusCAM, cathode manufacturing facility in Jackson, Tennessee, where 6K plans to produce 13,000 tons of cathode material each year, which would equate to approximately 100,000 to 200,000 average EV battery packs depending upon battery chemistry and size. 6K Energy is an ideal offtake partner to announce Aqua Metals. Both Aqua Metals and 6K Energy share the vision of creating a low-carbon and circular supply chain for critical battery materials domestically. While at the same time advancing cost effective production methods for sustainable lithium ion batteries. And our partnership signifies a major step towards U.S. leadership in the next generation of net-zero battery materials and technologies. Funded by our development partnership with 6K Aqua metals will be building on our patented and patent pending state of the art operative finding technology to commercialize a sustainable pCAM production process that replaces chemical catalysts with clean electricity. pCAM or cathode precursor materials is an essential input for 6K's high-performance low carbon cathode materials that will power the future of American made lithium-ion batteries. Aqua Metals has already filed the IP for this suite of technology earlier this year. And this development project was 6K upon completion will allow us to license our innovative metal to pCAM technology to take battery metals and metal form source from us and even the open metals markets to a 6K specific process that 6K will operate to create input ready material. The initial engineering agreement will also generate modest revenues under a million dollars for Aqua Metals during the remainder of this year. In our jointly anticipated development success expected later this year will pave the way for a supply agreement that the companies are currently negotiating based on 6Ks expected manufacturing volume at puscam, as it comes online in 2024, 2025. This supply agreement would be for 1000s of tons of material each year and represents hundreds of millions of dollars in potential revenue for Aqua Metals throughout the contract term.  Not only does this partnership build on Aqua Metals intellectual property and cutting-edge engineering capabilities, but it also reinforces the value of our inherent flexibility in the battery metals marketplace. Because we produce high-purity metals instead of alloys or sulfates when recycling, we believe that rock refining offers greater certainty and flexibility in meeting the exacting standards of tier 1 battery and cathode manufacturers. By starting with pure inputs.  Each manufacturer has a specific recipe for exactly what they're looking for. And in our ongoing partner discussions, our pure metals input stands out as a key selling point. The process of turning pure metals into battery metals is well understood, and that fundamentally de-risks Aqua Metals as a supplier.  We are also currently negotiating agreements with traditional metals buyers based on LME value and purity, meaning we plan to always have an off taker for any metals we produce, not assigned to a specific off taker or OEM. In the near-term, we expect to sell limited quantities of recycled materials to metals buyers, while also reserving finished materials for testing, product samples, and of course future R&D work.  This flexible business strategy and demonstrated success is bolstered by our steadily improving financial position. Just a few days ago, we received the final $12 million payment from Comstock Inc. As part of the previously announced industrial lease agreement and sale of our previous property. This transaction resulted in net proceeds of approximately $6 million after paying off our interim loan.  This amount combined with our quarter-end cash balance totals more than $9 million in cash, and amount sufficient to execute our 2023 plans. Our continued progress is garnering significant attention not just from partners and potential customers but from politicians as well.  In April, U.S. Senator Catherine Cortez Masto and her staff visited and toured our pilot facility in Tahoe-Reno. As you saw in the highlighted reel, the next day, the senator took our message of building a circular domestic supply chain for critical minerals to the floor of the Nevada legislature. The senator’s enthusiasm and praise were welcomed by the entire team and we are glad that Aqua Metals vision is resonating with political leaders. She is a tremendous advocate for Nevada businesses and has offered great counsel in our ongoing discussions with other government offices and agencies.  As you can see, Aqua Metals is progressing on all fronts. Our technology is being proven out every day as we reach new operational milestones. We have secured the necessary supply of black mass feedstock to reach commercial scale. We are generating revenues, and we now have announced to planned offtake agreements for 6K and for Dragonfly Energy for our sustainably recycled materials, with more anticipated to come. Aqua Metals is accelerating and this is just the beginning.  So now I'll turn the call over to Judd Merrill our CFO to discuss the results.
Judd Merrill : Thanks, Steve. Let me start my comments with our balance sheet. As of March 31, 2023, we had total assets of $34 million and working capital of $7.4 million. We ended the quarter with total cash at approximately $3.4 million. After the quarter close, we collected the remaining balance of $12 billion for the 2,500 Peru property sell or the proceeds are used to retire the $6 million note without and with security 2022.  Cash on hand and cash received from this asset sale, sufficiently cover costs related to operating the pilot plants. Initial outfitting up our Walton campus facility and general corporate needs for the remainder of 2023. Property plant and equipment increased approximately $4.5 million during the quarter, largely driven by the purchase of our new campus processing site located in a Tahoe-Reno Industrial Center, which we secured with a $3 million note. There were no other significant changes on our balance sheet since our last quarterly reports all moved to the income statement. In Q1, we were focused on advancing and executing our operations at our pilot facility and began the initial work to build out our commercial facility. We had a limited commercial scale production during the first quarter and as a result, no revenues are generated during the quarter. Plant operating costs related to operating our pilot facility Q1 2023. Q1 2022 plant operating costs included cleanup costs related to the recently sold 2,500 peru plant. Research and development costs decreased by approximately 90% compared to this quarter ended March 31, 2022. As we expected, our Q1 2023, R&D expenses were lower than last year as we focus in Q1 more on plant operations. We will see R&D expenses related to our agreement with 6K in the next two quarters. General and administrative expenses increased approximately 8.7% for the quarter ended March 31, 2023, compared this quarter ended March 31, 2022. This was in line with expectations and guidance. Non-cash charges included in G&A, including stock comp for approximately $0.7 million. The first quarter 2023, we had an operating loss of $4.5 million, compared to an operating loss of $4.3 million for the same period in 2022. Our net loss for the quarter ended March 31, 2023 was $4.6 million or negative $0.06 per basic and diluted share, compared to a net loss of $4.4 million or negative $0.06 per basic and diluted share for the same period in 2022. We continue to manage our cash utilization efficiently. Cash used in operating activities for the quarter ended March 31, 2023 was $2.9 million. Q1 cash used were approximately 900,000 per month as expected, largely due to the addition of more employees and consultants as we invest more in lithium ion battery recycling technology. Net cash used in investing activities for the quarter was $5.2 million. This consisted mainly of $4.3 million utilized towards the purchase of the campus building and property. Net cash provided by financing activities was $4.4 million for the quarter. This consisted mainly of $3 million from the note received and of net proceeds from the sale of Aqua Metals shares pursuant to the ATM. We have maintained a healthy balance sheet and have grown our company responsibly. Our current cash balance including the sell the 2,500, Peru asset, and our expected revenues later this year support our base company costs needed to operate our pilot plant throughout the year. Expansion of our campus property and equipment needed will require additional investments. We are actively pursuing non-dilutive options including debt, USDA back notes, government grants, and strategic partnership investments. We are confident in our technology partnerships and teams to be able to deliver on our plans this year.  And with that, that concludes my remarks on the financials, I will now turn it back over to the moderator for Q&A.
Operator: [Operator Instructions] Our first question is coming from Colin Rusch from Oppenheimer. Your line is now live.
Colin Rusch: Thanks, so much you guys. Can you talk or just remind us the contributions that 6K is going to make to this to this partnership, both financial and otherwise?
Steve Cotton: Colin, yeah, so 6K is exciting, because it's not only a nonrecurring engineering, source of revenue for Aqua Metals this year to really finish out the development of the ability to go straight from metal to the materials that they need to do their cathode active material production.  But it's also in contemplation of a supply agreement, where we would provide to 6K the output from our first campus facility, and potentially even in co-located operations, the cobalt and nickel and copper and lithium hydroxide in the form that helps them to develop their cathode active materials.  So, it's a really an engineering and technology cooperative agreement that also contemplates completing very soon the supply agreement, which could be worth, as I said, earlier, hundreds of millions of dollars to Aqua Metals over the term of the contract.
Colin Rusch: And then in terms of the USDA loan and the grant funding, can you just give us a sense of where you're at in terms of maturity of those conversations in those processes?
Judd Merrill: Yeah, so the USDA is moving along nicely. We're in that kind of the pre-application phase, we expect to submit something by the end of June, early July. And we'll be able to hear back, shortly after that. So, we're very active in that area. We've got some different consultants that are working with we're doing a feasibility study, we're doing an engineering study, and putting together all the models that are required. So, we're moving forward on that.  On, I don't know if you asked about it, but just on the grants front, there's one grant, I think that we talked about that we apply for, it was $5 million. And we'll hear back probably late summer on that. A significant portion would come to us, and we have some partners on that as well. So, we're optimistic, but we don't know until probably August, September timeframe on that. We expect the next big round of grants from Department of Energy to come out this summer, which we are preparing to apply to those as well.
Colin Rusch: Okay. And then the final one for me is just I know, it's early days with this pilot facility, but can you give us a sense of what you're seeing from a yield standpoint at this point in terms of material in and material out? And the range of quality that you're getting off that process? 
Steve Cotton: Yeah, so that's a great question in terms of the yield that we're getting in terms of value of the metals that we talked about. We're getting pretty much all but like $20 a ton of black mass worth of value out of that material. So, the yield is very high and we're seeing great process flow and throughput is beginning to kick in. As we mentioned, on the call, we've gone to 24 hours a day, by five days a week operations, that means there's people working at the pilot facility, and the pilot is operating for 24 hours a day during the Monday to Friday timeframe.  So, we expect it will begin to produce enough quantity of material that we're not only using that material for our own testing and samples to our offtake partners and things along those lines. But also, to sell that material in the metals market, you need to get to probably a minimum of a ton of each type of metal. And we expect that will be there in a matter of weeks that we have the opportunity to begin selling those materials. And that takes time when you make your first sale to get through the full qualification and payment and things like that. But we do expect to begin selling those materials relatively soon.
Operator: Our next question is coming from Sameer Joshi from H.C. Wainwright. Your line is now live.
Sameer Joshi : Hi, guys. Thanks for taking my question. Just a few questions on the 6K. What are the financial commitments or requirements from academicals that are required for this?
Steve Cotton: So, what we've disclosed publicly is that it's the NRA portion, which I think is what you're asking me about, which is the non-recurring engineering fees that 6K will be paying off rentals will be less than a million dollars, but a significant amount. And the exact amount will depend upon how everything goes throughout the remainder of this year. But we expect it will book, let's say several hundred thousand dollars of revenues from 6K for the non-recurring engineering portion. That is to connect our process where we get to the pure metals production, as well as lithium hydroxide, and be able to take that material and get it through our IP through some customization of IP to fit their process by the end of the year. And in the meantime, we're working on our negotiations for a long-term supply contract that was mentioning earlier could be worth hundreds of millions of dollars to Aqua Metals over the term of the contract. And that's really to fulfill their facility plans for their Jackson, Tennessee plusCAM facility. And that is slated about 13,000 tons per year of cathode active material production. That will be a significant portion of that supply. What's also really cool about this relationship with 6K is, it's not just sustainable battery recycled materials from the metals that we extract. But this technology that we're working on with 6K will also allow for the ability to retrieve metals from the mining world, such as nickel and cobalt as examples or even lithium, and get those converted into the form that they need in order to make those cathode active materials with their really innovative process that matches well with our carbon-free solution.
Sameer Joshi : That was the intention of my question to understand if the development agreement you were getting paid for by 6K to fund the development. And this the accounting question on that. Will this be considered revenues or will it be netted against R&D or some other line item?
Steve Cotton: Yes. So, won't be considered revenues from our pilot operations, but it would be a revenue line item offset by some R&D expense.
Sameer Joshi: Understood. And then in terms of your capacity versus 6K goal of 13,000 tons would their facility take on your capacity? Or how should we think about that?
Steve Cotton: Yeah, so we don't intend to sell out the entire capacity of our campus to one partner, but 6K will certainly achieve a significant portion of that capacity. As we've already announced, we have a relationship with dragonfly energy, for example, for the lithium hydroxide. So, there's a growing number of clients that we will, in partners that we'll be working with from the output of that facility.  But we do say, in that announcement that we're contemplating co-location, and the ability to add to the capacity of our additional campus as we develop our partner network. So, in the longer term, we'll see some additional projects potentially coming to light that is AquaRefining lithium ion refining technology and locations beyond our own campus facility.
Sameer Joshi: Understood. In terms of just the pilot facility that uses operational now, what kind of revenues should we expect from this during 2023? Or will these be just samples and not significant revenues?
Judd Merrill: Thanks for the question. So, 2023 is all about getting our pilot tested and running, which we're doing, and it's been successful so far. 2024 is about operating the demonstration plant and that's where all the work we're doing now. We are producing metals, and there will be some revenue, there'll be a modest amount of revenue in 2023 but the focus is less on revenues this year, more on it next year, as we operate the bigger plant. But there will still be some revenue that we'll see from that. And from 6K.
Sameer Joshi: Yeah, no, we understand that, this will be mostly ramping up and getting traction on this-commercials. And just the last clarification, did I hear that cash balance as of now is around $9 million or is it about $9 million?
Judd Merrill: Right. So, we ended the quarter with the little over $3 million, $3.3 million. And then we successfully closed on the sale of 2500 peru asset that was $12 million that we brought in, we use six of that to pay off that bridge note, significantly reducing the debt we had. So, the 6 plus the 3% is where we came up with the 9%.
Sameer Joshi: Got it. Understood, thanks so that. And good luck to you, your next plan.
Operator: Thank you, we reach and in the front portion of our Q&A session. I'd like to turn the floor back over to Bob Meyers for the web portion.
Bob Meyers: Thank you. Yes, we have a few questions. Back to 6K. What were the most important factors for Aqua Metals that made 6K the right partner at this time? And what influenced 6K if you're able to expand on that?
Steve Cotton: Yeah, thanks, Bob, for asking that question. So, there's a number of factors that really make six gay great fit for Aqua Metal and that starts really at a fundamental level with the company's mutual and shared vision of building that domestic and sustainable supply chain for critical battery materials. So, it's a really natural fit their process is powered by electricity. And our processes we talked about quite a bit is powered by electricity and not powered by fossil fuels are intensive use of chemicals with waste stream. So that's really, from what a big part of the fit was. And for our fit into the ecosystem, we are really good at generating the critical battery minerals in pure form. And what 6K is a pioneer at is creating cathode, material production. And their plasma technology really is truly next level. They're scaling operations rapidly and in line really, with our strategic growth plan as well. And they're a prime example of the type of off taker partnerships, I'd say that we are working to develop. And the expected demand for raw materials that we all think we're going to see will be significant coming years. We believe that the combination of our domestic supplies of the recycle critical minerals, and metals and their domestic manufacturing also makes batteries manufactured from our joint products fully eligible for the IRA initiatives and tax credits.  They're really all of this combined with the low emissions benefits. For our combined technologies, we think and we know they think makes for an enduring partnership in the climate constrained world. It's going to be powered by lithium batteries as we electrify.
Bob Meyers: Great, thank you. We talked a little bit about an existing material. And the question is, how far along are you with cobalt and manganese plating?
Steve Cotton: So, we're far along in finishing out the suite of minerals from the pilot facility. And I guess I would say, expect to hear from us very soon on the cobalt in the manganese dioxide.
Bob Meyers: Okay, great, thank you. I think this might be the last question. And we talked a little bit about it. But when will you be at your target capacity of 6 metric tons to 10 metric tons per month at the pilot facility?
Steve Cotton: We're ramping quickly towards those numbers. And again, that's six months to 10 months of input material. So, it's actually more tons of the output material. Ultimately, as we build molecules that way more than atom. So, we expect, because we have now achieved that we talked about today, the 24 hours a day by five days a week operation. While we're all sleeping at night, on a Tuesday night, we're out there making metals and minerals, we expect that we'll achieve that ramp, I would say by as we get into the summer, and complete the achievement of that ramp. And in the meantime, we're already as I mentioned earlier, beginning to make stuff at the level of tonnage. In the very near future, we expect that we'll get to that capacity of the pilot plant and then really, that is going to be constrained in terms of our revenue opportunity. But as Jeff said earlier, the pilot plant isn't about the revenue as much as it's about informing how to correctly take the next phase, which is our commercial demonstration plant at our campus facility and build it once and build it right. We want to be really good stewards to our capital. And we've learned a lot for the pilot already. And that's already informed our design for the next phase facility. So that's a lot of what the pilot is about and of course, partner development with partners like 6K and dragonfly that already looked at samples of our materials and others that we're not about able to talk about today. That's really more the function of that pilot.
Operator: We reached the end of our question-and-answer session, I'd like to turn the floor back over for any further closing comments.
Steve Cotton: Great, well, thank you operator. I'd also like to point out and highlight that we have some really great content on our website. For anyone that wants to learn more, you can always see right on our homepage in what's new summary, what's going on of late. And then check out our media tab.  In addition to press releases, and in the news that you see in most websites, we also have comprehensive materials in our blog that we've called the current with video and other information. We recently announced our battery recycling pedia which has great content and great information on battery recycling vernacular can get anybody up to speed quite quickly and all the things that are battery and battery recycling related.  So, with that, I'd like to thank everybody for listening in today or on the replay if you're listening to the replay and please make it a great rest of the day. Thanks, everyone.
Operator: Thank you that does conclude today's teleconference and webcast, you may disconnect your line at this time and have a wonderful day. We thank you for your participation today.